Executives: Abhijit Bhattacharya - Executive Vice President of Investor Relations François Adrianus van Houten - Chairman of the Board of Management, Chief Executive Officer and President Ron H. Wirahadiraksa - Chief Financial Officer, Executive Vice-President and Member of Board of Management
Analysts: Andreas P. Willi - JP Morgan Chase & Co, Research Division Mark Troman - BofA Merrill Lynch, Research Division Martin Wilkie - Deutsche Bank AG, Research Division Ludovic Debailleux - Natixis Bleichroeder LLC, Research Division Ben Uglow - Morgan Stanley, Research Division Gael de Bray - Societe Generale Cross Asset Research Martin Prozesky - Sanford C. Bernstein & Co., LLC., Research Division Olivier Esnou - Exane BNP Paribas, Research Division Simon Toennessen - Crédit Suisse AG, Research Division Erwin Dut - Kempen & Co. N.V., Research Division Philip Wilson - Redburn Partners LLP, Research Division William Mackie - Berenberg Bank, Research Division Fredric Stahl - UBS Investment Bank, Research Division Andrew Carter - RBC Capital Markets, LLC, Research Division
Operator: Welcome to the Royal Philips Electronics Third Quarter Results 2012 Conference Call on Monday, the 22nd of October, 2012. [Operator Instructions] Please note that this call will be recorded and is available by webcast on the website of Royal Philips Electronics. I will now hand the conference over to Mr. Abhijit Bhattacharya, Head of Investor Relations. Please go ahead, sir.
Abhijit Bhattacharya: Good morning, ladies and gentlemen. Welcome to this conference call on the third quarter of 2012 for Royal Philips Electronics. I'm here with Frans van Houten, CEO of Philips; and our CFO, Ron Wirahadiraksa. In a moment, Frans will make his opening remarks and give you an update on how we are executing on our performance improvement plans. Ron will shed more light on the details of the financial performance during the quarter. After this, both Frans and Ron will be happy to take your questions. As usual, our press release and accompanying information slide deck were published at 7:00 a.m. CET this morning. More documents are now available for download from our Investor Relations website. We will also make available a full transcript of this conference call on the Investor Relations website by tomorrow at the latest. With that, let me hand over the call to Frans to take it forward.
François Adrianus van Houten: Thanks, Abhijit. Welcome. Thank you all for joining us today for our third quarter 2012 earnings conference call. Our operational and financial performance this quarter demonstrate that we are making further progress on our paths towards our 2013 financial targets, driven by our Accelerate! program. Before I walk you through the highlights of this quarter, let me provide you with a broader picture of the improvements that we are driving to change Philips. Early last year, it became clear that we had to address issues affecting our performance, like slowing growth and unsustainable overhead cost structure and lack of granularity in the performance management system, as well as a culture that needed to change. To address these and other issues, we launched our multiyear change and performance program, Accelerate!, which fundamentally changes the way we manage Philips. In the past several quarters, we have already seen results from this program. Our performance is on a steady path of improvement despite the strong economic headwinds that many economies around the world are experiencing. I continue to be very pleased with how the organization is responding to Accelerate!. We are rebuilding our end-to-end value chain. We are improving customer service. We are investing in innovation and growth. We are taking out cost and reducing inventory. Our portfolio of products is being made more locally relevant with faster introductions, resulting in stronger growth. More specifically, we have extended the number of LEAN End-to-End transformation projects in the last quarter. And currently, 15% of our revenues are now within scope. We plan to implement transformations to cover more than 40% of our revenue in 2013. Let me just give you a few examples of how these end-to-end projects are impacting our business. In North America, our LED lamps business has doubled its growth while improving margins. Our Male Grooming category in China is experiencing strong growth in market share. The Domestic Appliances business in Turkey has achieved a leadership position with around 40% growth in this market. In addition to growing market share, these projects are helping to reduce inventory and they are paving the way for a simplified and more efficient IT platform in the future, with enhanced tools to support granular business management throughout the organization. Additionally, we have started a company-wide program to improve procurement effectiveness, and we see significant opportunities for 2013 and beyond to reduce our cost of goods and improve gross margins. I'll talk about these in more detail in just a few moments. We are also fundamentally changing our company culture. We are raising the quality of our executive presence in markets, empowering Philips employees across the globe, encouraging entrepreneurship and improving accountability and performance management. In the employee poll surveys that we do, covering about 40,000 of our employee each quarter, over 80% of the respondents have seen a positive uptake and impact of the new behaviors. More than 7 out of 10 of our employees said that this was positively impacting their way of working. As stated before, we have aligned our short-term incentive structure fully with our goals based on line-of-sight accountability. We have also issued and accelerate a restricted shares and options grant, which is fully linked with the 2013 financial targets, and we are still working on structurally changing our long-term incentive program. As we deploy Accelerate! deeper into the organization and make our value chain lean, we are finding more ways to save cost. We communicated to you in September that we have increased our cost savings target to EUR 1.1 billion. As of the end of Q3, cumulative gross savings amounted to EUR 306 million. I regret that the increased savings plan has an unavoidable impact on some of our people as we need to make Philips a leaner and more competitive company. Of course, the raised productivity targets will require a step-up in restructuring charges, and we now expect restructuring and acquisition-related charges of approximately EUR 300 million in the fourth quarter of 2012. Let me describe to you also the measures we are taking to improve gross margins. First of all, we are further rationalizing our industrial footprint in Lighting and Healthcare. Secondly, we are increasing our efforts to reduce the Bill of Materials. As we discussed with you at Capital Markets Day, given the size and scope of our organization, we procure many parts from multiple suppliers. We are changing our processes to involve our procurement teams early in the development phase of a product. This will ensure that we maximize volume leverage and also drive better results from value engineering. While we have just begun to embark on this improvement program, we believe that our approach will help offset price erosion and contribute to stronger gross margins over the next 3 years. Third, we continue to improve our focus on innovation, which is really our lifeblood. Our company has a strong history of creating very innovative products, and we are now ensuring that we better align our R&D plans and our business strategies. We are reducing the time-to-market for new innovations, and we are leveraging our world-class research and development capabilities and an extensive set of external partnerships. Our ability to innovate will be the key driver to differentiate to ramp growth and profitability in the years ahead. With that, let's discuss now some highlights from the quarter, and then I will turn the call over to Ron to walk you through more of the details. Group sales growth in the quarter was 5%, which in combination with productivity improvements we have made, enabled us to deliver an EBITA of 7.3% and an adjusted EBITA margin of 9.2%. Our Healthcare business continued to perform well. Comparable sales grew by 7%, and EBITA margin was 13.5%, led by double-digit sales growth at Imaging Systems, high single-digit growth in Home Healthcare Solutions and mid-single-digit sales growth in the remaining businesses. In the growth geographies, sales increased 14% on a comparable basis. Currency-comparable order intake increased by 6% year-on-year. This was led by Europe, with a growth of 18% as we won some large project orders. In North America, we saw actually a 5% decline as both government and private hospitals delayed ordering. While sales growth has been solid, uncertainty in the U.S. and the weakness in Europe is continuing to impact our order intake. With the momentum of our Accelerate! programs, we believe our Healthcare business is making good progress towards our 2013 targets. The growth businesses in Consumer Lifestyle posted another solid quarter, delivering a double-digit revenue increase with solid -- sorry, delivering a double-digit revenue increase with double-digit profitability. Our ability to create innovative and locally relevant products has enabled us to grow market share in key markets in a short period of time. Sales increases in the sector were, however, partly offset by a double-digit decline at the Lifestyle Entertainment business. The reported EBITA margin for the quarter overall was 8.5%. The performance trajectory of the growth businesses in Consumer Lifestyle put us in a good position to achieve our 2013 targets. In Lighting, LED-based sales continue to show strong momentum with comparable sales growth of over 50%. LED now accounts for 24% of total Lighting sales. Comparable sales increased by 4%, with double-digit growth at Lumileds and Automotive and low single-digit growth at Light Sources & Electronics. Adjusted EBITA amounted to 7%. Reported EBITA margin for the quarter was just 2.2%, impacted by higher restructuring charges, as well as a loss on the sale of industrial assets. We have made good progress towards turning around our Lumileds business in the quarter. Weakness in consumer confidence has affected the growth in Consumer Luminaires, making the task of breaking even in Q4 this year more challenging. A weak construction market and the faster penetration of LED-based lighting solutions have impacted the conventional lighting businesses. While we continue to invest in innovation and our go-to-market capabilities, there is still more work to be done in terms of cost reductions and accelerated rationalization of the industrial footprint. In line with previous comments, the improvement in Lighting will be a gradual and bumpy journey. We are confident about our ability to be the winner in the new world of LED lighting. However, there is still work to do to achieve our 2013 targeted margin range. While the economy is experiencing stronger headwinds, we continue to focus on our self-help actions. Accelerate! is a comprehensive set of programs aimed at significantly improving our growth, operational and financial performance. It is also helping very much to mitigate the effects of some of the macroeconomic pressures. The bottom line of my presentation is that we remain confident in our ability to continue improving the performance of the company and we do believe that overall, we are on a good trajectory to achieve our 2013 targets. I'll now turn the call over to Ron to go over our financials in more detail.
Ron H. Wirahadiraksa: Thank you, Frans. Good morning, and welcome to all of you on the call. I will begin by giving you some color on the development in the markets we serve and then walk you through our financial performance for the third quarter. Let me start with healthcare. In the U.S., we are seeing that the recovery of the U.S. economy is challenging. Based on the latest surveys for hospital construction and contrary to earlier estimates, new starts from January to July 2012 were down 18% versus 2011. This typically has an impact on our industry. We remain cautiously optimistic that after we have the U.S. Presidential elections behind us, we will see the market return to modest growth in 2013. The ramification of the Supreme Court ruling on the Patient Protection and Affordable Care Act add another layer of complexity to the market outlook for next year. It is not yet clear which states will exactly participate in the Medicaid expansion, adding to the gridlock regarding healthcare reform and making it increasingly difficult for hospitals to perform adequate long-term planning. It is important to note that the Medicaid Expansion Act does not become effective until 2014. The court also upheld the medical device excise tax, which will become effective in January 2013, with a 2.3% tax on sales of most medical devices. This tax will be deductible for Philips, and we are looking at all opportunities across our value chain to mitigate the impact of this tax on our business. In Europe, we remain cautious on the economic outlook. Southern Europe continues to be very weak as the austerity measures undertaken in countries such as Italy, Spain and in Greece, significantly affect public spending on healthcare. Market growth for the remaining part of Europe showed the first signs of improvement. However, we remain cautious as economic fundamentals still point towards a subdued outlook for Europe. On a more positive note, the growth economies continue to show good momentum well into the third quarter. Although China's growth has moderated, the mid- to long-term growth drivers for the Chinese healthcare market are still intact. Overall, we maintain our outlook of 4% to 5% growth in the healthcare markets, overall, with challenges in the North American and European markets for the short term. The consumer markets reflect the effects of the overall weakness in the global economy. In the Eurozone, unemployment was flat at the record high rate, while consumer confidence declined to the lowest level in 3 years. Overall, retail sales continue to fall year-on-year. The situation in Southern Europe remains negative. In China, there is increased evidence of slowing growth, with consumer confidence falling for the second consecutive month and growth in retail sales stabilizing. It should be noted that although growth in China is lower, the rate of retail sales growth at well over 10% is still strong compared to other markets. As far as the other growth geographies are concerned, the decline in unemployment in Brazil and Russia has halted. Consumer confidence rates are seeing some declines but are still at clearly higher levels than in mature markets. Retail sales growth in Russia slowed but increased in Brazil, partly boosted by tax cuts. In the U.S., unemployment reached an unexpected low in September, consumers' confidence is showing signs of recovery and retail sales were reported to grow at the end of the quarter. Expectations for the holiday season are mixed, with people remaining cautious and looking for deals. The lighting market in Q3 2012 was slightly up versus Q3 2011 and grew sequentially compared to Q2 2012 as well. This was mainly driven by LED product categories and growth geographies. Recent indicators in North America have been a mixed bag but together point to further sluggish economic growth characterized by uncertainty. Nonresidential construction through July was down 15% compared to a year ago, and it is expected to drop low- to mid-single-digit percent for the rest of the year. By contrast, the outlook for residential construction has been raised by double-digit percent. Western Europe continues to feel downward economic pressure though the German Consumer and Professional Luminaires markets reflect growth. France continues to show moderate growth in lamps categories but we see the market flattening for luminaires. In growth geographies, construction remains strong especially in Southeast Asia, driving growth in the lamps and luminaires markets across categories. The Indian market saw a good growth especially in Consumer Luminaires. In China, decelerating GDP and construction have dampened the lighting market broadly. LED categories continue to show growth unlike conventional categories and luminaires. Global vehicle production in Q3 is estimated to have modestly increased compared to the same period in 2011. Market data indicates that global light vehicle production is expected to slow down in the second half of the year. As a result, it is expected that the second half of 2012 will show slower growth than the first half of the year. Let me now move to the Philips Group results for the third quarter of 2012. Please note that when I refer to adjusted EBITA on this call, this represents EBITA, excluding restructuring charges, other one-off items above EUR 20 million in the year and acquisition-related charges. Comparable sales in the third quarter grew by 5% when adjusted for currency and portfolio changes. Comparable sales in our growth geographies increased double digit in the third quarter. Our growth geographies are defined as all markets, excluding USA, Canada, Western Europe, Australia, New Zealand, South Korea, Japan and Israel. Sales from these growth geographies increased to 36% of group revenues, compared to 34% for Q3 last year. Sales in North America grew by 2% in the quarter on a comparable basis, led by Consumer Lifestyle and Healthcare. Europe saw a decline in comparable sales of 2% in the quarter, mainly due to the market-related weakness I spoke about earlier, which significantly affected Consumer Lifestyle. Excluding the decline of Lifestyle Entertainment in Europe, group sales were flat. Healthcare sales were also flat and Lighting sales declined marginally. In the other mature markets, the group saw a 15% increase in comparable sales, with Japan continuing to remain strong with 24% growth and Australia growing by 21%. Reported EBITA was EUR 450 million or 7.3% of sales, which is higher than the EUR 368 million or 6.8% of sales reported for Q3 last year. The restructuring and acquisition-related charges for the third quarter for this year were higher than the third quarter of last year by EUR 54 million. This is mainly due to increased restructuring charges in Lighting, related to the rationalization of the industrial footprint and the overhead cost reduction program. Q3 2012 EBITA was negatively impact by the loss on the sale of industrial assets in Lighting of EUR 34 million. Adjusted EBITA was EUR 562 million or 9.2% of sales in the quarter compared to EUR 392 million or 7.3% for Q3 2011. The improvement in the adjusted EBITA was due to improvement performance -- of performance across the group. Net income of EUR 170 million was EUR 94 million higher compared to Q3 2011, reflecting higher operating earnings and the loss in discontinued operations in Q3 2011 of EUR 54 million. Cash from operating activities for the quarter was an inflow of EUR 651 million. This compares to an inflow of EUR 45 million in Q3 of 2011. The improvement was mainly due to lower working capital, including some payables which moved into Q4 as the quarter ended on a weekend and, of course, also driven the increase by higher earnings. With that summary, let me now walk you through the performance of each of our businesses during Q3. And I will start with Healthcare. Currency-comparable equipment order intake grew 6% in Q3 2012 compared to Q3 2011. The increase in order intake was led by good performance in Europe, which increased by 18% in the quarter, which was driven by large project orders in the Netherlands, United Kingdom and Finland. This is good news as large project orders had come to a standstill for the last several quarters in Europe. Excluding these large orders, order intake in Europe grew low-single digit. Order intake in the growth geographies increased by 9% on a comparable basis. In these geographies, Patient Care & Clinical Informatics recorded double-digit increases in order intake for the quarter, while Imaging Systems grew low-single digit. Russia and the ASEAN region recorded strong double-digit growth. China was at 11%, while LatAm recorded a high single-digit growth. Japan, our second largest market for Healthcare, continued its strong recovery and recorded an impressive order growth in the quarter of over 30%. Currency-comparable order intake declined in North America by 5%, mainly due to a decline in Imaging Systems caused by lower spending both in the government and private sector. We clearly see the uncertainty around the U.S. presidential elections and healthcare reforms, causing hospital administrations to hold on to cash and to be cautious with their ordering. Order intake for Patient Care & Clinical Informatics increased double digits. While for Imaging Systems, it increased by low single digit. On a currency and portfolio comparable basis, Healthcare's year-on-year sales increased 7%. Imaging Systems had double-digit comparable sales increase on Healthcare high single-digit, while Patient Care & Clinical Informatics and Customer Services grew mid-single digit. The growth geographies delivered a comparable sales increase of 14% in the quarter. This was led by Russia, with an increase of around 150%; India around 30%; LatAm around 20%; and China at 10%. Comparable sales in Europe were flat for the quarter, with Southern Europe declining by high single-digit and the rest of Europe growing by 3%. Sales in North America grew by 3% in the quarter, with Imaging Systems, Patient Care & Clinical Informatics and Home Healthcare Solutions all recording mid-single-digit growth. Healthcare reported a third quarter EBITA of EUR 330 million or 13.5% of sales, which is an increase of EUR 69 million compared to Q3 2011 when EBITA was 12.6%. Adjusted EBITA was EUR 330 million or 13.6% of sales, which is above the EUR 263 million or 12.7% of sales in the same period of last year. Positive growth momentum and higher gross margins resulted in the improved earnings for the quarter. Consumer Lifestyle sales, when adjusted for currency and portfolio changes, grew by 3% compared to Q3 of last year. The sales growth momentum continued in Q3 2012 for the growth businesses, which are Personal Care, Health & Wellness, as well as Domestic Appliances, which registered a 10% comparable sales growth. Lifestyle Entertainment suffered a double-digit sales decline in the quarter. The growth geographies grew high single-digit in the quarter, led by LatAm, Russia and the ASEAN region. Sales in North America grew mid-single-digit, while Europe declined by 7%. The decline in Europe was due to Lifestyle Entertainment, as the combined growth businesses in Consumer Lifestyle grew by 3%. Other mature markets, comprising of Japan, South Korea, Australia, New Zealand and Israel, recorded high single-digit growth in the quarter. The reported EBITA at Consumer Lifestyle improved to EUR 124 million from EUR 62 million in the third quarter of 2011. The adjusted EBITA for the sector for Q3 2012 was EUR 133 million in the quarter or 9.2% of sales compared to EUR 72 million or 5.4% of sales for the third quarter of 2011. The improvement in adjusted EBITA was driven by higher sales in the growth businesses, cost reductions, as well as a significant reduction in the stranded costs related to the Television business from EUR 16 million in Q3 2011 to EUR 7 million in Q3 2012. In Lighting, comparable sales grew by 4% in the quarter compared to Q3 of last year. The increase in sales was led by our growth geographies, where sales grew on a comparable basis by 11%. On a more granular basis, sales in Japan, India, Latin America, Africa and China showed good momentum with strong growth. North America recorded low single-digit sales decline in the quarter. Weak markets in Europe caused low single-digit sales decline in comparable sales for the quarter due to a strong decline in Southern Europe. Sales growth in the rest of Europe for the quarter was flat compared to last year. When taking a deeper look into each of the Lighting businesses, we continue to see strong sales of our LED products with growth of over 50% compared to the same quarter in the previous year. Lumileds and Automotive recorded a strong double-digit growth for the quarter, while Light Sources & Electronics were up low-single digit. Professional Lighting Solutions sales were flat for the quarter compared to the previous year, while Consumer Luminaires sales had a low single-digit decline in sales for the quarter. Reported EBITA at Lighting declined to EUR 47 million from EUR 110 million in Q3 2011. This was mainly due to an increase of EUR 61 million in restructuring costs related to the overhead cost savings program and the rationalization of the manufacturing footprint in the Lighting sector and the loss on the sale of industrial assets of EUR 34 million. Adjusted EBITA was EUR 149 million or 7% of sales, an improvement compared to the EUR 121 million in the third quarter of 2011. Operational improvements in Professional Lighting Solutions and Lumileds have resulted in a sequential improvement of the adjusted EBITA from 6.5% of sales in Q2 2012 to 7% in Q3 2012. Reported EBITA for Innovation, Group & Services amounted to a net cost of EUR 51 million, a decrease of EUR 40 million compared to Q3 2011. Q3 2011 included the negative impact of legal and environmental provisions of EUR 38 million, as well as EUR 17 million of stranded costs related to the TV business. These charges in Q3 have more than compensated for the higher investments related to the Accelerate! program and the lower license revenues for Q3 2012. Adjusted EBITA amounted therefore to a net cost of EUR 53 million, compared to net cost of EUR 64 million in the prior year. Stranded costs related to the TV business have reduced from EUR 17 million in Q2 2011 to EUR 3 million in Q3 2012. Inventory value at the end of Q3 2012 decreased on a currency-comparable basis by EUR 153 million compared to the third quarter of 2011. All sectors reduced their inventory on a comparable basis. Inventory as a percentage of sales improved to 16.7% in the end of Q3 2012 compared to 18.2% in Q3 2011. There was a significant reduction in Consumer Lifestyle, where inventory as a percentage of sales declined by 250 basis points compared to the end of Q3 2011. In Lighting, inventory as a percentage of sales improved by 100 basis points compared to the end of Q3 2011. Healthcare inventories decreased by 160 basis points at the end of Q3 this year after several quarters of increases due to the inventory reduction programs running in that sector. Imaging Systems reduced inventories by 290 basis points, while Patient Care & Clinical Informatics and Home Healthcare Solutions decreased their inventory by 120 and 110 basis points, respectively. Since the commencement of the share buyback program in Q2 2011, we have completed 63% of the EUR 2 billion program at the end of Q3 2012. As mentioned also in the last quarterly call, going forward, we expect to buy back our shares at a rate between EUR 150 million to EUR 300 million a quarter. We will continue to closely monitor the availability of liquidity in the financial markets and our cash position and manage the pace of this program appropriately. I would like to remind you that we have planned a conference call with an update on financial reporting and related matters like pensions, and we do this in December every year. And for this year, it will be on the 3rd of December. Ladies and gentlemen, let me briefly summarize before opening the line to questions. The improved results for the third quarter of 2012 demonstrate further progress on our path towards our 2013 financial targets. We continue to experience strong economic headwinds on a global scale, which affect growth going forward. While we feel the impact of these pressures, we remain confident in our ability to continue improving the operational and financial performance of the company, driven by our Accelerate! program. With that, let me now open the line to your questions, which Frans and I will be happy to answer. Thank you.
Operator: [Operator Instructions] The first question comes from Andreas Willi from JPMorgan.
Andreas P. Willi - JP Morgan Chase & Co, Research Division: My first question is on the earnings bridge. If I add all the positives from pensions, savings, lowest stranded costs, some volume leverage and foreign exchange, I get to about EUR 300 million year-on-year positives on the adjusted EBITA number compared to about EUR 170 million increase you have shown year-on-year. Maybe you could break down the negatives in terms of the still ramping up of investments you are doing, which is driving top line growth but maybe also other negatives in terms of price pressure or so that explains basically how we get to the net number in the earnings bridge. And the second question on top line growth, you're guiding to a slowdown going forward due to the economy. Would you still expect to continue to outgrow your end markets by a similar margin as we have seen in the last few quarters? Or would you expect that difference on the relative growth to also narrow now that maybe some other comparables get a bit more difficult from your investments that drove growth over the last few quarters?
François Adrianus van Houten: Andreas, let me take the second question first and then Ron is preparing for the earnings bridge question. The Accelerate! program gets us to become more agile and entrepreneurial. We are speeding up innovation. We're taking many measures. By reducing overhead cost, we can actually do a bit more in research and development and customer penetration. So the sum total of all that should allow us to gain market share, which I think is behind your question. So we have seen good momentum in all 3 sectors with some market share gains. Of course, we aim and hope to do more of that. But I do consider the outlook of the world economy sufficiently in-transparent that I cannot already now promise you that we will outgrow competition. So we'll have to take it in strides. I think that we are becoming a more competitive company. And therefore, by and large, we should strive for gaining position. A good news piece that came in, in September was the SFDA approval for our Ingenia 1.5 and 3 Tesla MR systems that should help us also to grow further in the fourth quarter with order intake. In the meantime, I look to Ron. Are you ready for the earnings bridge?
Ron H. Wirahadiraksa: Yes, thank you. So if we look at the absolute increase in the profit, you have to bear in mind that yes, our gross margin is growing, of course, at an absolute level because the sales growth and there is indeed some price pressure, but we don't see it outside the normal range on average. But we also still increase our cost. And if you look at that, there's a large part here on an absolute basis related to the impact of ForEx, that is the translation loss that I have to mention to you. Otherwise, we of course are saving from Fit to Grow. We're also doing restructuring and we're doing investments in IT infrastructure and process infrastructure. And then there is the ongoing investments that we're doing in growth, so that we come to the amount, you call it, EUR 170 million, as the result of these.
Operator: The next question comes from Mark Troman from Bank of America Merrill Lynch.
Mark Troman - BofA Merrill Lynch, Research Division: It's Mark here from Bank of America. Just got a question on Healthcare, Frans. Europe, you won some big orders, looked pretty good. U.S. went the other way, looked weaker. Are these ongoing trends that you see? Do you think that Europe has bottomed out or -- either from a market perspective or because of what you're doing on the product side or investment on the sales side that we just alluded to earlier?
François Adrianus van Houten: Yes. Mark, I'm afraid we cannot derive a trend from what has just happened. Southern Europe continues to decline. And it is a couple of these bigger lumpy orders that made Europe shine in the third quarter with 18% order intake growth. I cannot guarantee you that, that will continue going forward. There's quite some uncertainty there. The U.S. has been going strong up until this summer. And with the uncertainty around the elections and the fiscal cliff, you see most people being very prudent. We expect that to be the pattern for the next 3 to 6 months. The underlying U.S. economy is actually improving. So it's a bit of a paradoxical situation. China, GDP growth, also uncertainty around government programs, again, I think we are faced with an uncertain period of maybe 3 to 6 months, and we'll have to take that in strides and take it as it comes. We will fight very hard for every order. And I think we are in a better shape. So sorry, no real trend lines to be derived out of this explanation.
Mark Troman - BofA Merrill Lynch, Research Division: Okay. And just one follow-up. Frans, the procurement program you mentioned before in your opening part of your presentation, can you just clarify, is that in addition to the Accelerate! program? Or is that part of some operational excellence drive within Accelerate!? And in terms of the scope of that, could you provide any sort of guidance as to what's going on?
François Adrianus van Houten: Sure. We have made the procurement program part of Accelerate! As we went into the end-to-end programs and we look at innovation, the innovation process, the product creation process we have discovered. We have found that we are really not strong enough in what we call procurement engineering. And so we said that we need to come to fundamental strengthening of the role of procurement in the early stages of the innovation processes. So we have made a part of Accelerate!, we announced that we see possible -- will eventually lead to upside. At this stage, we are not changing our midterm targets. The scope will be all of Philips, but with more than 60 business units in the company, clearly, we cannot tackle all of them at the same time. So we are taking the most rewarding opportunities first. I realize very much that this is a substantial program. We are also shifting the resource allocation of our procurement staff. We have more than 2,000 procurement staff from the realization phase, basically handling the orders to suppliers to, what we call, procurement engineering, which is much more the strategic procurement work that happens early in the process. So some new competencies will also be required there. So the program has to 2 sides: one is an immediate toughening of the requirements on purchasing; and secondly, it's a structural process reengineering and capability enhancement program.
Operator: The next question comes from Martin Wilkie from Deutsche Bank.
Martin Wilkie - Deutsche Bank AG, Research Division: It's Martin Wilkie from Deutsche Bank. The first question is on consumer. It sounds like you've had a very good mix in the quarter with some of the higher-margin businesses growing faster than the lower margin. Is there anything unusual in the quarter in terms of new product launches or anything like that, that might it mean that, that improvement is not sustainable? Or do you think this is the beginning of showing some of the benefit from investing in these growth markets?
François Adrianus van Houten: Yes, a great question, Martin. I'd say it's a combination of a couple of initiatives that we have taken. You'll recall that when we started this Accelerate!, we actually said we are going to invest a bit more. We are going to invest to bring products like Sonicare into more markets, where we had to create the dental professional recommendation network in order to open up these markets. We are seeing the benefits of these geographical adjacencies. And for us, it's something that is there to stay. The second driver is product adjacencies, so more attractive products that are launched faster. Just in the third quarter, I can give you at least 4 different products in different categories that are quite exciting: so first of all, the HomeCooker that we have co-developed with Jamie Oliver, that should get busy families back into making healthy food in their home environment. The Senseo Sarista, which we did with Douwe Egberts Masterblenders that gets you freshly ground coffee both as single serve, as well as whole pots when you have a lot of friends over, that is a breakthrough product. The Sonicare, I just spoke about Sonicare in terms of geographical expansion. We are -- now have launched the Sonicare PowerUp, which is a product range extension, basically bringing Sonicare at lower price points to convert manual toothbrushing into the electrical category, expanding the market. And the final product that I'd like to mention and then I'll stop this advertisement is the StyleShaver. It's a great 3-in-1 shaver, groomer and haircutting device that is targeted at young guys, getting them to switch over from wet to dry. It's a real self-expression device that will appeal to them. So all proof points of a more dynamic entrepreneurial Consumer Lifestyle and very much what I would like to see them do. So I think the higher growth -- of course, there will be fluctuations but should be sustainable. It's a great business.
Martin Wilkie - Deutsche Bank AG, Research Division: If I could just have one follow-up as well on IG&S, the central cost, it's come in a lot lower than I think was generally expected for the second quarter in a row. I think you have been talking earlier in the year that we should be expecting about EUR 300 million for that division for this year. Should we expect a sort of spike in Q4? Or do you think that the lower rate of cost in that division is sustainable?
Ron H. Wirahadiraksa: Yes. Martin, we guided for about EUR 230 million and have started with the EUR 340 million. Then you take out restructuring and stranded costs and then the lower licensee income and add the Accelerate! investment, you come to EUR 230 million. So if you look, that would be EUR 80-plus million for the quarter. We had, in Q3, lower restructuring cost about EUR 20 million; lower stranded cost about EUR 7 million; and slightly lower license income; and also a little bit lower Accelerate! investment. So that explains why we came in better in the adjusted EBITA with EUR 53 million. We still would guide for the fourth quarter of around EUR 80 million.
Operator: The next question comes from Ludovic Debailleux from Natixis.
Ludovic Debailleux - Natixis Bleichroeder LLC, Research Division: It's Ludovic Debailleux, Natixis. First of all, on Lighting, have you already benefited from the earth rare price decline? If yes, can you share with us the effect on margin? If no, what could be the impact in Q4 and in 2013?
Ron H. Wirahadiraksa: Yes. For Q4, as hedges are rolling off, we expect some impact but not much. We expect the main impact to start in Q1 of 2013.
Ludovic Debailleux - Natixis Bleichroeder LLC, Research Division: And a follow-up maybe on Lighting, you're working to further reduce losses in Consumer Luminaire and Lumiled segments. What is the impact on EBITA margin in Q3? And could you also confirm that Q4 will be profitable?
Ron H. Wirahadiraksa: So with Lumileds, we are making really good strides to break even in this quarter with all the measures we took, replacing new management, addressing all the operational issues, cost roadmaps and what have you. For Consumer Luminaires, it proves to me more challenging. We're trying to meet this target. So this is not something that we are walking away from. But we have to also note that the economic headwinds don't really help in this category of products. So we expect to see improvement in Q4 year-on-year, which we hope to be around to breakeven, depending on the top line. If you look in the Lighting bridges, so Lumileds, compared to Q3 last year, is about 30 basis points improvement in the total difference in the Lighting margin, and Consumer Luminaires is about flattish.
Operator: The next question comes from Ben Uglow from Morgan Stanley.
Ben Uglow - Morgan Stanley, Research Division: I had a handful of questions but mainly around Healthcare. First of all, could you just give us a bit more color on the double-digit growth in Imaging Systems which is extremely strong? Is that coming from any one particular modality or any one particular product range? Or is -- or are you seeing this broad-based across the whole Imaging Systems portfolio? Is there anything special going on there which is driving a market share gain? That was question number one. Question number two, and I know it was alluded to on the transcript, but I couldn't write it down fast enough. Can you just give us a sense of the growth rate this last quarter in Imaging Systems in China versus the previous quarter? The third question was just on this large order intake in Europe. What was your comparison in the third quarter of 2011? Is there a big base effect there as well which is driving the organic growth? And then finally, a clarification from Ron on restructuring. I just want to make sure we got this right. You've got EUR 300 million of Accelerate! restructuring in the fourth quarter. What is the total industrial footprint restructuring as well? What I'd like to know is on a combined basis, Accelerate! plus industrial footprint, what will that amount to for the year?
Ron H. Wirahadiraksa: Want to about Europe's double-digit order intake?
François Adrianus van Houten: Yes. Well, the order intake in Europe, the question was compared to 2011.
Ron H. Wirahadiraksa: Yes, so it's 18% plus. So this is mainly caused by 3 large deals, which were in Netherlands and in the U.K. mainly. If you would take those -- and we're happy with that because as said, the last orders that we had seen have kind of dried up in the past quarters. So very pleased that, that is coming back. If you take that out, then the order intake in Europe is actually low single-digit in Europe.
Ben Uglow - Morgan Stanley, Research Division: And was that on a very easy comp or anything like that or just low single-digit growth?
Ron H. Wirahadiraksa: Yes. So we don't really guide for the quarter. We have seen flat for Healthcare in Europe so far, and that's a mixed bag between Southern Europe not getting better and a few of the Northern Europe countries getting somewhat better, okay? Then let me go into the last question that you asked, and that is on the restructuring. So the EUR 300 million that we mentioned is the overall restructuring that includes industrial footprint. And the fact that we are EUR 15 million lower than the amount I indicatively mentioned in Capital Markets Day, just to give a heads-up, was because we found in number of areas better ways to restructure. The overall amount is EUR 300 million. And then the double-digit growth, I think we talked about that, right? Then Imaging Systems in China, we don't really guide for a specific location, specific BGs, but the growth in Healthcare in China was double digits, solid double-digit growth still. And that is, of course, very good against the overall backdrop, now already for quite some time, of the China economy slowing. So we are happy to see that. It also somewhat points in time that says that the healthcare agenda in China is probably going to still proliferate and therefore provide for us better business opportunities. But we need to see in the near term how that will develop in China.
Ben Uglow - Morgan Stanley, Research Division: Okay. And just the question regarding, is there any modality or product category in Imaging Systems which is dramatically outperforming or anything like that?
François Adrianus van Houten: No. Last year, we introduced this new range of product mainly on radiology, the Imaging 2.0 suite. We are rolling that out. It took quite some time for the Sino FDA to approve the longer process time than we are used to, but we're doing that now. So that will also help and the stronger categories are probably more in MR and in CT because those were the areas where we made improvements.
Operator: The next question comes from Gael de Bray from Société Générale.
Gael de Bray - Societe Generale Cross Asset Research: The first one is related to Healthcare. I mean, we had again an outstanding sales growth in the quarter. But how do you explain that the adjusted margin was actually down a little bit on a sequential basis, I think down like 50 bps quarter-on-quarter? Still related to Healthcare, could you remind us how much is the traditional seasonal positive effect on Q4 margins versus Q3? And the last question I've got is on the -- on IG&S. You look well on track to exceed EUR 150 million of IP varieties in 2012. What's your assessment for next year if you include the contribution of the TV license income? And also, are you happy with the performance of the TV joint venture so far?
Ron H. Wirahadiraksa: Okay. On your first question, actually, the adjusted EBITA margin of Healthcare came to 13.6% and that was a 90 basis point improvement versus last year's 12.7%.
Gael de Bray - Societe Generale Cross Asset Research: Yes, but it was down 50 bps on a quarterly basis, Q3 versus Q2?
Ron H. Wirahadiraksa: There's a little bit of seasonality in this. So the expenses are slightly up, but I wouldn't take it as anything else than that currently. Then in IG&S, the -- we are quite well on track to achieve the guidance for IP license income, as I said. So I would just, for IG&S, sail with the guidance that I gave for the fourth quarter, about a little bit over EUR 80 million.
Gael de Bray - Societe Generale Cross Asset Research: Yes. And what about the seasonal effect to be expected in Q4 Healthcare margins?
Ron H. Wirahadiraksa: Yes. Well, normally, this expands significantly over a much higher sales volume in Q4. Last year, we thought we had good visibility, but we were confronted with the push-out of some of the sales and that took quite an impact in the results. Of course, we have looked at this year at visibility for the fourth quarter. We're not guiding for that, but we need to see how the actual sales are going to develop. And we do not have an expectation that the same would happen. We don't build that really in. That doesn't necessarily mean that it won't happen. It's just that the telltale signs are not there to say that right now.
François Adrianus van Houten: Then your question was about the Television joint venture. We don't, let's say, publish results of our Television joint venture. The Television joint venture launched a whole series of exciting new products that were well received by the retailers. And so if that is any sign at least, we are on the right path there to get our result partner, TPV. We look at the future with confidence.
Operator: The next question comes from Martin Prozesky from Bernstein.
Martin Prozesky - Sanford C. Bernstein & Co., LLC., Research Division: It's Martin from Bernstein. Two questions, please. The first, again, on margin mix in Healthcare, you mentioned that you expect Q4 seasonality to be more normalized than last year. But then in terms of your mix shift from the orders, it seems like Patient Care & Clinical Informatics, which is one of the best margin businesses within Healthcare, had a very good order intake from the comments in the release. So do you expect the mix within margin to be improving? Or is that being too optimistic? Then second question, just on Lighting, given on the residential side in the U.S., we're seeing pretty good construction data, what are you seeing on the prof lum side, the non-resi? Are you seeing it remaining pretty stable? Is it also being held back by election uncertainty?
Ron H. Wirahadiraksa: Yes, so in the Professional Luminaires, we see it down somewhat. So we don't see a real uptick there, not as fully anticipated.
Martin Prozesky - Sanford C. Bernstein & Co., LLC., Research Division: And is that also the expectation into next year?
Ron H. Wirahadiraksa: Well, we need to see how we end this year. Last year, there was a -- towards the end of the year, there was an expectation into next year the construction there would increase and improve; that didn't really happen the way it was anticipated. I have to also reemphasize again that we're not only, of course, playing in the -- in new construction market but also, in the renovation and refurbishment market, where we have quite good position. But I would say that's a little bit too early to now comment on. The seasonal mix shift in gross margin, you would expect for Healthcare in Q4. We'll have to see exactly what the margin is going to be. It's a little early to comment on that seeing some of the uncertainties that we see. We're encouraged by what we have seen, of course, in the good order intake in PCCI. But then again, there is a lot of uncertainty and there's also still significant amount of, what we call, bookend-to-bill business in Q4. And that's why I said this year we don't plan for really push out, but we need to see if they will happen.
Operator: The next question comes from Olivier Esnou from Exane.
Olivier Esnou - Exane BNP Paribas, Research Division: A couple of questions, maybe starting with Healthcare in Europe. I think earlier this year, you were still not guiding, but maybe mentioned you were looking for mid-single-digit decline. And even if we back out this large order, it looks like you're well ahead of that. So can you maybe talk about what you see as being really better than what you thought would happen this year? And how much of a pipeline activity for large orders do we have in Europe right now? Second question, on Lighting in North America, I think it seems to be down a little bit. How do you feel about that? Before, you were a bit disappointed with the progress in that region. Do you think you're more in line with the market and your peers here?
François Adrianus van Houten: Olivier, Frans here. Let me take the second question and then Ron will come back on the order pipeline in Europe. The bottom line is that we still have a lot of work to do in Lighting, Philips Lighting North America. I mean the second quarter looked a little bit better, the third quarter is -- was not a good performance yet. So we have work to do. The new management there is taking strong action. I'm happy to see that. I think versus competition, we certainly delivered the performance that I would have liked to hope for.
Ron H. Wirahadiraksa: On the Healthcare Europe, of course, we had said earlier we are encouraged by the fact that we saw large orders coming back this quarter -- or sorry, in Q3. We haven't seen that for a number of quarters. We won't draw the conclusion from – that, that would now be really returning to the surface because it goes a little bit in chunks here. So the large order intake probably is a bit more bumpy. And thereby, we would not really say that there could be, in the next quarter, something similar. Of course, we'll work it then. We will hope for it then, try to get it, but that's very uncertain. For the full year, perhaps healthcare Europe will be flattish both on the sales and the order intake. Yes?
Olivier Esnou - Exane BNP Paribas, Research Division: Including large order?
Ron H. Wirahadiraksa: Yes, yes, including large, yes.
Operator: The next question comes from Simon Toennessen from Crédit Suisse.
Simon Toennessen - Crédit Suisse AG, Research Division: It's Simon Toennessen from Crédit Suisse. Just 2 questions from my side. The first one on the strong free cash flow performance obviously driven by the working capital inflows. Ron, you already mentioned the accounts payables there and the quarter falling on a weekend. Could you let us know how much of that was related to that and what kind of reversal would you expect then in the fourth quarter? And then the second question is on Lifestyle Entertainment, could you update us on any future plans of the division? Obviously, you flagged at the Q2 stage already about focusing on the growth categories there. The quarter obviously showed another double-digit decline, maybe an update on that would be great as well.
François Adrianus van Houten: Yes. Simon, let me start with Lifestyle Entertainment. So we talked about looking for new business models in July and we announced the distribution deal with Funai, which is now in place. In the meantime, we are working hard to change the profile of the portfolio, just like you mentioned, with strong traction of our docking stations. And also, the headphone range is doing really well. The declines are in the traditional home theater products like DVD and Blu-ray. And that is regrettable, but I think that's the reality. I'm proud to say that the business continues to be profitable, which means that we are doing all the vigilant actions that are required. Let me leave it at that.
Ron H. Wirahadiraksa: On your first question on the free cash flow, we estimate the impact of that to be a net of EUR 200 million plus. So EUR 200 million was -- flew into the payments of the Monday following Sunday, the 30th. So this is totally within our payment discipline. As you know, we enforce payment discipline in the group from last year onwards. So this is the normal use that you would make that is a balance between our customers paying us a little later and our payment runs being executed on the first of the next month. And I said the net effect is about EUR 200 million, yes.
Operator: The next question comes from Erwin Dut from Kempen.
Erwin Dut - Kempen & Co. N.V., Research Division: Yes, 2 questions. First question, I'm intrigued by the slowdown in China. Can you talk about whether that's destocking already? Or do you expect some destocking across your portfolio in China, both on the Consumer Lifestyle side, but also on the Lighting side? And secondly, on Automotive, what do you look for, for next year? It looks like all of those sales are going to be down next year for various automotive producers for 2013. Do you have any guidance or visibility as to what your volume is going to be in Automotive Lighting next year, 2013?
François Adrianus van Houten: On the first question on China, destocking is not really the word. I don't think that plays a factor in the -- so slowdown in China, it starts with the GDP growth hovering now between 7% and 7.5%. We see that reflecting across the board, consumers being more careful, but also professional business slowing down somewhat also as government incentive programs are running out and the uncertainty is there until the new government will be in place. So we don't think that there is particular destocking happening. There is normal inventory in trade. And that's what I think we can say about that. In China, the Healthcare range will get a boost from the recently approved MR products, the Ingenia products that were already out there in the rest of the world or in China just approved by the SFDA in September. And also, the PET/CT was recently launched in China. So that should be good news for order intake. On the Lighting side, we see a stronger traction at the Professional Lighting Solutions side but a bit more carefulness at the lamps side. In terms of Automotive, I think you're implying that next year could be more challenging. And actually, we agree. The visibility on Automotive growth is muted. So we'll need to be careful.
Operator: The next question comes from Philip Wilson from Redburn.
Philip Wilson - Redburn Partners LLP, Research Division: I want to ask 2 questions, please. The first is on pricing in Lighting. Can you give us a sense on where the third quarter pricing is in Lighting, LED versus traditional? And perhaps how this has moved directionally versus the first half and how you see this moving going forward? That's the first question. And the second question on Healthcare. Have you seen any trading down from CT and MRI to ultrasound and x-ray? In other words, are you seeing any technology substitution in the industry from high-margin products to low-margin products for same application?
François Adrianus van Houten: We gave at the Capital Markets Day an extensive update on the margin of LED and we showed that the margins across the board in LED are now pretty close to conventional. Since the Capital Markets date, we have no really new insights to tell you. So you can take this same information as a proxy. In Healthcare, we do see hospitals making more conscious choices when they need a high-end product and when a value product is good enough. So it is not a systematic trading downtrend, not at all, but there is a stronger segmentation going on, on the demand side about what product is needed and what not. Our strategy, in relation to that, is that at the high-end side, we try to create more value, more value by integration of imaging product with treatment, integration also with the clinical informatics, helping hospitals to become more productive throughout the care cycle while at the same time introducing value products in order to participate in the standalone product segment, where people are just looking for a good deal. I think, by and large, that strategy works. We still have some gaps in the value product range lineup with more to come next year from our Suzhou operation for Imaging Systems.
Operator: The next question comes from William Mackie from Berenberg Bank.
William Mackie - Berenberg Bank, Research Division: Will Mackie from Berenberg. One on Lighting and one on Healthcare. You mentioned earlier in the call that there was more to do across the Lighting division and following up to that, you've commented about luminaires in North America and the fall behind within Consumer. What else would you characterize as more to do to reach the target range for 2013 to speed up the cost side or at least to accelerate the growth side? On the Healthcare division, very strong growth in your growth geographies and favorable mix. You've given us some outlook on European revenue and order for this year. But given the order falls and the cautionary commentary you're making about the backlog -- sorry, the background to Healthcare North America, in the U.S. particularly, what would be your view on revenue in the fourth quarter for the U.S. and leading into 2013? I mean, are you prepared to at least flag that it's likely to turn negative at the back end of this year and into the start of next on the uncertainties?
François Adrianus van Houten: Well, William, I think you know that we are not going to guide for sales in North America in the fourth quarter. It would be great if we could all have that knowledge right in front of us, but we can't, sorry. We'll be in fighting mode for sure in Healthcare, going for every -- for the orders that we can get. I think that's also the new culture at Philips, where we are reminded early on [ph] we are performance-oriented. I think that is really making the difference for Philips, and there should be more opportunity in that area, hopefully compensating for economic headwinds. In Lighting, yes, you of course point out 2 of the things that stare us in the face, Professional Luminaires North America, Consumer Luminaires Europe, but there's many more areas. I mean across the board, productivity, drive, cost structures are too high structurally for the future of LED lighting, where we need to prepare ourselves for some ongoing competitive pressure. I do feel that we are absolutely on the right path. 50% sales growth in LED in the third quarter is no mean achievement. It's really very good. It shows the leadership that we have. So the third one then was the cost productivity improvements. Now Lumileds need to come to profit in Q4. So that's the next installment in that chapter. We are working very hard to adjust our industrial base in the conventional area. So that's number -- what was my count, number 5? And I can go on like that. So I mean, the Lighting sector is working on many measures in parallel. It is putting pressure on the organization. They can handle it. I'm pleased with the new management. It will be, for the next 2 years, quite a bumpy road, but I have full confidence that we will emerge as a strong, profitable leader in the new world of Lighting.
William Mackie - Berenberg Bank, Research Division: Could I come back out to Healthcare with a quick follow-up? Your major U.S. competitor on Friday called out a challenging pricing environment. How would you characterize the pricing environment for the large healthcare equipment in Europe or North America?
François Adrianus van Houten: I think across the board, we see that we need to fight for orders. I just, a few minutes ago, talked about the strategy at the high end that we try to focus on adding value through integration of our modalities, so that it is not just a price game. Whereas in the more standalone applications, just an x-ray or a simple ultrasound, products are more comparable and then automatically, you get more price pressure. So I can relate to more price pressure across the board. However, in our mix of sales, we do not see a significant deviation from previous patterns. So I'm making a distinction between, let's say, the average market outside and what we are able to realize thanks to innovation.
Operator: The next question comes from Fredric Stahl from UBS.
Fredric Stahl - UBS Investment Bank, Research Division: It's Fredric here at UBS. I just had a question on your -- the Accelerate! program. If I look at your headcount reductions, you've done -- about 40% have been realized in -- as of Q3 here. And then if I look at your cumulative growth savings, you've done -- I think you were between 25% and well just below 30%. So there's a bit of a gap there. And usually, from my experience, they follow hand in hand. I just wondered if you could provide some color on that, if there's a mix difference in the headcount reductions in terms of geographies and levels of salaries or if there are more announcements to -- or more headcount announcements -- headcount cuts to be announced?
Ron H. Wirahadiraksa: Yes, okay. So with the EUR 800 million program, there was 4,700 people with a EUR 300 million extension of our overhead cost reduction program to EUR 1.1 billion. The total headcount is now 6,700. And you're right. It's a little over 2,900 people in the third quarter, but I think this comes a little bit lumpy in the various line items of that. I wouldn't draw too much of a conclusion off that. There is no significant mix shift in the geographical composition. And we're very pleased that we're fully on track in executing on this program.
Operator: The last question comes from Andrew Carter from RBC.
Andrew Carter - RBC Capital Markets, LLC, Research Division: It's Andrew from RBC. The -- most of the questions have been asked -- answered, I think, but I just had 2, please. One was at Healthcare, just thinking about the Q4. I was wondering when you've been looking at sort of your customers at Healthcare and thinking about their behaviors, do you think given the sort of the budget uncertainties that they face in 2013 and how they're operating at the moment, are they going be looking to sort of spend all of the money in Q4, so to speak, and avoiding anything slipping into Q1? That was the first question. And just the second one was just looking at restructuring charges for 2013. In terms of the sort of usual restructuring, do you have any early thoughts as to where you think that might be?
François Adrianus van Houten: Andrew, let me start with the first one. Will customers spend all the money that they have? Well, that would be nice. But actually, the telltale signs are the opposite. So if you looked at the order intake in the U.S. in the third quarter, it was a negative order intake. And actually, customers are postponing orders. And I think that is what we may expect in Q4 as well. And so -- and Veterans Administration having postponed their orders even until next year is a very realistic example of that. This is also why we need to be really cautious about Q4. There is a little unclarity on what customer behavior will be. But if anything, it will be on the negative side and not on the positive side. So I ask you to be very careful in your modeling and forecasts. Then on the restructuring charge, Ron?
Ron H. Wirahadiraksa: Yes. So for the restructuring, we guide per quarter. So we have already given you the amount for the overhead cost reduction for the next quarter, which is EUR 125 million -- for the next year, sorry, for 2013. And as we said, in Q4, the overall restructuring charge will be EUR 300 million.
Operator: Thank you, Mr. Van Houten and Mr. Wirahadiraksa. There are no further questions. Please continue.
François Adrianus van Houten: Okay. Well, then if we have answered all your questions for now, I imagine, then thank you so much for joining into this call. And be with us on our journey for further improvement with Accelerate! going on for the next couple of years. You will get the next installment hopefully soon. And if there's any questions remaining, then please reach out to our Investor Relations team. Thank you very much. Have a nice day.
Ron H. Wirahadiraksa: Thank you.
Operator: This concludes the Royal Philips Electronics Third Quarter Results 2012 Conference Call on Monday, the 22nd of October, 2012. Thank you for participating. You may now disconnect.